Operator: Ladies and gentlemen, welcome to Capgemini Q1 2022 Revenues Conference Call. I will now hand over to Mr. Aiman Ezzat, CEO. Sir, please go ahead.
Aiman Ezzat: Good morning, everybody, and thank you for joining us for the Q1 revenue call. So I have today with me Carole Ferrand, our CFO; Olivier Sevillia, our Group CEO is on the other side of the world in Australia, he will be back with us for the H1 results. I'm extremely pleased to share with you the record performance we achieved in the first quarter. Our revenues are up 17.7% at constant exchange rates. This represents a meaningful acceleration from the 12.5% growth we recorded in Q4. Taking into account currency impact, group revenues reached EUR 5,167 million in Q1, up an impressive 21% year-on-year. Impressive because it takes into account the fact that we have very limited impact from acquisition this quarter. With this fourth consecutive quarter of double-digit growth, the last 12 months revenue are up 14% on an organic basis. Bookings totaled EUR 5.5 billion in Q1, up 26% at constant currency year-on-year, leading to a book-to-bill of 1.06, which is a record level for Q1 for Capgemini. The funnel remains very strong and significant increase of large deals. And as you have seen, the recruitment activities are very dynamic. So all these numbers really continue to lead to the same indication, the change of the group growth profile. We are confident about this year's performance and remain fully committed to our midterm targets, supported by the strong structural demand for digital transformation. Now when you look at this momentum, it's really visible across the group with strong growth across all regions, sectors and businesses. All regions reported double-digit growth. All regions also accelerated compared to Q4 growth rates. If U.K. and Ireland and APAC and LatAm regions record the most impressive growth rate north of 20% and 40%, respectively, the underlying acceleration is homogenous across regions. Remarkably, all sectors posted higher growth rates, top performance in Q1 are consumer goods and retail, public sector and manufacturing, all above 20%. And I'm also particularly pleased by the momentum achieved in Financial Services, which has been the #1 contributor to the group acceleration and also the return to growth of the Energy & Utilities sector. Finally, all of the group businesses accelerated, in particular, we see the strength in strategy and transformation at 32%. I can say we did not see any change in decision cycle and client behaviors. All of them are accelerating their digital transformation projects and the perspective around strategy and transformation for Q2 are also good, which is, of course, an indicator for us in terms of the dynamic of the market. And our funnel is pretty strong as well on the engineering side. Now with this strong performance, doing clearly better than average market growth, we are gaining market share and strengthening our positions in the markets with our clients. The momentum is very good as well for the second quarter and beyond. So when you look at the deals and the momentum driven by digital transformation of our clients across the group value chain, and thanks to its investment, the group is really able to capture the structural acceleration in demand for digital transformation. We have competitive offers and strong capabilities in cloud, in data and in AI, and we're helping our clients to put in place the foundation of their most ambitious transformation. We are at the very heart of their business challenges, intelligent industry, customer first, enterprise management. And if I take an example of this U.S. fast food chain, which might not be the one you're thinking about. We just closed a 5-year agreement to accelerate their digital and cloud-led business transformation in a customer-first approach. I want to highlight the business value of this transformation and what it will deliver. New guest experiences enabled by loyalty, gift card and consumer analytics powered by cloud transformed restaurant platforms. This deal perfectly represents the combination of world-class portfolio with a sharp knowledge of the industry challenges of this prominent retail brand. Also special remark, we never -- we don't often talk about it for cybersecurity this quarter. We have won several very interesting deals to help our clients secure their digital world, and demand continues to be very high with a rising interest for embedding strong cybersecurity layers in every project we deliver. All in all, our market perspectives are excellent. The fundamental trends are very robust. We continue to see strong structural demand for digital transformation, and we are very well positioned to sustain this excellent momentum. Our world-class offering portfolio is perfectly aligned with the demand of our clients. We combine all ingredients of digital transformation from what is essential to what's next. We have put innovation at the forefront to be prepared for tomorrow in areas such as Sustainability, Quantum, Metaverse or Synthetic Biology, which is at the convergence of IT, engineering and biology. Our obsession for business value is decisive. We are positioned as our client's CXO strategic partners. Our industry-specific focus creates the business value they need in intelligent industry, in customer first or enterprise management. We are winning the talent world. We are clearly able to attract and retain talents as demonstrated by the increase of 16,000 talents in the last quarter. We are able to attract the right talents as well in cloud, in data, in AI and cybersecurity, and this is a result of the focus we have around training, job rotation, promotion, diversity, but also investment in brand and in people experience. As expected, we confirm that attrition is stabilizing, given a little bit down compared to Q4, and we estimate it will continue to go down by the end of the year. In a nutshell, we are taking advantage of this very dynamic market to position ourselves strategically on the more strategic transformation, investing in innovation with direct access to the C suite. The perspective is positive, the funnel is strong, and all of that will enable us for the years to come to continue to provide sustainable and profitable growth. Now as you have seen and as you noticed, we have a stronger start of the year than initially anticipated. And I'm convinced that there is structural acceleration in the demand, but it goes well beyond that. Our strategy is delivering results. We are gaining market share as we are creating more value for our clients. As announced, in February, the group financial targets for 2022 are the following: a constant currency top line growth between 8% and 10%, including acquisition contributing 1 to 2 points to growth; an improvement ranging from 0 to 20 bps in operating margin to reach 12.9% to 13.1% for the year; and we expect our organic free cash flow to exceed EUR 1.7 billion. I'd say, thank you for your attention. And I'll now leave the floor to Carole, our CFO.
Carole Ferrand: Thank you, Aiman. And let's start with the highlights of this first quarter of 2022. We are pleased to report such a strong start to the year with a strengthening momentum across all our regions, sectors and business lines. Indeed, our constant currency growth accelerated in Q1 to reach 17.7% at constant currency. This compares with 12.5% in Q4 2021. After restating for our group scope at 1.4 points, our organic growth stands at 16.3%, up 3.1 points on Q4 2021. On a reported basis, Q1 revenues reached EUR 5,167 million, up 21% year-on-year. We benefited from a positive 3.3 points currency impact as many currencies appreciated against the euro. For the full year, I remind you that we expect our M&A activity to contribute 1 to 2 points to group growth. As for the next quarter, the FX impact should remain similar to Q1, adding around 3 points to growth. Let's now look at our revenues by region. All group regions reported double-digit growth at constant currency in Q1 2022. This reflects a stronger underlying momentum than in Q4 2021 in most of our regions despite the more demanding comparison basis. More specifically, at constant currencies, the United Kingdom and Ireland region enjoyed another record quarter with a 21.3% growth driven primarily by the public and consumer goods sectors. The North America and Rest of Europe regions grew by 16.8% and 16%, respectively. These regions benefited notably from a strong traction in financial services. France reported revenue growth of 11.1%, thanks notably to a robust momentum in the manufacturing and consumer goods sectors. Finally, revenues in the Asia Pacific and Latin America region increased sharply by 42.6% at constant currencies. This contribution of our 2021 acquisition in Asia Pacific came on top of a sustained organic growth in this region. As you can see on the revenues by sector slide, our strong start to the year is also visible in all our sectors. In particular, our momentum in financial services has been a key contributor to our acceleration this quarter. Growth in TMT and Public Sector also stepped up from Q4 level and contributed to this acceleration. Finally, after several quarters of slight contraction in 2021, the energy and utilities sector returned to 6.1% growth at constant currency in Q1. Now let's have a look at our revenues by business line. All our businesses reported in Q1 a further improvement of their annual growth rate on Q4 2021 levels, which were already very high. Strategy and transformation and application and technology services continued to benefit from a broad-based demand for digital transformation. The positive growth at constant currencies of 32.1% and 20.4%, respectively. Operations and Engineering total revenues grew by 12.7% at constant currency. This performance reflects notably a strong double-digit growth in Engineering Services. Infrastructure and Cloud services as well as business services maintained the steady underlying momentum of late 2021. A quick look at our bookings now. Bookings amounted to EUR 5,473 million in Q1, up year-on-year by 26.5% at constant currencies. Consequently, the book-to-bill ratio stands at 1.06 compared to 0.98 in Q1 last year. This reflects the strength of our positioning and a demand environment, which is very dynamic. And finally, a few comments on the headcount evolution. The total headcount reached 340,700 employees at the end of March, up 24.2% year-on-year. The offshore leverage stands at 58%, stable compared to the end of 2021. Lastly, the last 12 months attrition is mechanically up to 26.2% as Q1 2022 replaces a current impacted quarter in this 12-month rolling metric, [ thus ], quarterly trends confirm that the peak in attrition should be behind us. With this, I hand over back to Aiman to open the Q&A session.
Aiman Ezzat: Thank you. Operator, can you please open the Q&A session?
Operator: [Operator Instructions] First question from Amit Harchandani from Citigroup.
Amit Harchandani: I've got three, please, if I may. My first question goes to, I guess, the fairly obvious point about the outlook for this year. You've had a stronger start to the year than many of us anticipated. As you look towards the remaining 3 quarters, what's holding you back from raising the outlook? Is it still comps? Is it conservatism? Is it macro? And what would it take for you to raise your outlook? Would it at least be fair to say that you're pretty much now well set to hit the high end of the outlook? That would be my first question. My second question goes to the topic of pricing. Can you give us a sense for the pricing environment today? To what extent is that combined with your differentiated value proposition, allowing you to offset cost pressures, inflation pressures that are being talked about out there? Or do you think you would have to rely on pyramid effect to offset some of these pressures? And very lastly, a quick clarification. Could you give us a sense for how your sales funnel is shaping up to be? Because it was, I think, 20% or up even a bit more at the end of 2021.
Aiman Ezzat: Okay. Listen, on the outlook, I will start by saying we refrain from revising full year outlook in Q1. And the current environment does not call us to do that differently. What I can tell you, we don't see any change in the market dynamic in the short term. Now notably, in Q2 it's quite strong. So based on the environment we see today, we should aim at existing 2022 in line with the midterm ambition, taking into account that we have a much higher comparison basis for Q3 and Q4, okay? But the fundamental thing is that we don't revise outlook in Q1 and with some uncertainties in the market today it doesn't call for us to change anything at this stage. On the pricing environment, Amit, I don't think it's actually compared to what we have been telling you for the last couple of quarters. There is definitely positive momentum around pricing. It's not across the board. Some of it takes more time than others. But overall, what we confirm is that we are comfortable with the fact that we're able to absorb overall, some of, of course, increased salary inflation and costs that we see in the market. And also, as you remember, the post-COVID costs of people returning back to offices and the travel expenses. I can tell you, yes, definitely, we see it in Q1 and moving for the rest of the year, the travel expenses are definitely coming back and going up. But overall, we remain comfortable about our ability to be able to absorb this and to be able to have a small improvement in the margin for this year. The funnel is strong. It's still up 20% or something like that in Q1 compared to last year, and we continue to see an increase of large deals, which are transformation deals versus consolidation deals. And we had our fair share or even above our share of wins of large deals in Q1. And that's, of course, part of what helps sustain the momentum as we go into Q2 and the rest of the year.
Operator: Next question from Mohammed Moawalla from Goldman Sachs.
Mohammed Moawalla: Congrats on a very strong start to the year. I wanted to just build on your comments around kind of the environment. We've heard from most software and service providers that their enterprise environment is still pretty resilient. If we were to think about as sort of a macro change, can you both perhaps talk us to the portfolio what is perhaps going to be more resilient and perhaps less affected? And how do you sort of see the opportunity to kind of increase your sort of share gains in that scenario? And then again, further kind of looking at the portfolio you have now versus perhaps 5 years ago, 10 years ago, talk us through the depth and breadth and the ability to still perhaps maintain positive growth even in, say, a mild kind of recessionary scenario?
Aiman Ezzat: Okay. So you have one question, but it's a big question. Listen, on the portfolio, I mean, first, there is a resilience of the group just significantly increased. I think we pushed some of that during COVID. But overall, it's also based on the recurrence of what we do for our clients in terms of relationship, but also the nature of the work that we do. We are more and more focused around really the transformation activities to help our clients move to a digital world and to become much stronger businesses. The work we do with auto companies, with aero companies, the work we do with banks, with insurance companies is not maintaining the day-to-day work. There is, of course, part of it, which is there, but a lot of it is around basically preparing for the future. And that for me is a fundamental change. The second thing is that it is strategic partnerships. We are deeply involved in the future of our clients, and that's what provides the resilience. And we see the client's drive towards digital transformation is absolutely critical. And for many of them, it's just at the beginning. Many of them we're just moving the clients to the cloud, which is just the first step in really the digital transformation journey. And the resilience is coming from them. So the sustained demand will be there. I already said that consider that the demand for services in digital transformation, I'm not talking about technology, services around digital transformation is decoupled from GDP because it is [ partial ] and that work will continue in spite of potential macro issues. Now it might be tempered a little bit, which is normal but overall, the underlying growth remains strong. And my vision around what will happen over the coming years remains very positive.
Mohammed Moawalla: And could I follow up just on the pace of hiring, which continues to be pretty robust. I know that you wanted to sort of hire quite a bit upfront. Should we expect the pace to taper off as we move through the year? Or is the demand so significant that you still need to maintain at...?
Aiman Ezzat: I'm not going to be speculative, but we have been having a pretty good pace of hiring for the last few quarters. The start of the year is being stronger, so we're also more this is anticipation, of course, so a better year overall.
Operator: Next question from Charlie Brennan from Jefferies.
Charles Brennan: Congratulations. Obviously, a very nice start to the year. Can I just talk about the utilization rate? It's obviously a driver of margin performance for you and given how strong the top line growth is. I'm surprised that we're seeing utilization rates just slip sequentially. Is there any message in there with regards to margin? And do we need to think about the seasonality and the phasing of margin through H1 and H2 because of this?
Aiman Ezzat: No, utilization rate is down because we wanted to bring it down a little bit. We have to invest for the future. And as I said, we're hiring a lot of young engineers because we're not investing just for this year, we're investing for the next 2 or 3 years. So we are bringing utilization rate down to be able to continue to build capabilities for the future. And for me, what you should see is it as being a sign of confidence in terms of the perspective we see for the market in front of us. And I just reiterate what I just said on margin and Carole, next to me, she can also reiterate the message, is that our margins are holding pretty well. And basically, we feel comfortable in terms of being able to upload the cost, including what you perceive as being basically a bit of a drop in utilization year-on-year.
Charles Brennan: What do you see as the optimal utilization rate that you're aiming for to try and balance the mix between training staff appropriately and delivering value to customers?
Aiman Ezzat: Listen, utilization is, for me, your rate of hiring, your rate of basically hiring in advance in terms of building resources, is it for the next 2 quarters? Is it for the next 2 years? It's quite different on the perspective you have. And again, you should see that as being something positive. I don't think there's something ultimate utilization rate. If you see a slowdown, you might be able to increase your utilization because you slowed down your hiring. So I think utilization rate has to be adapted to what you're trying to achieve based on the context in which you are. And in that case, we are really ramping up resources because we are confident in what we see in front of us.
Operator: Next question from Toby Ogg from Crédit Suisse.
Toby Ogg: Congratulations on the strong start to the year. So just two from my side. Firstly, just on the margins. How have the COVID costs that you'd anticipated coming back into the base fared versus your prior expectations through Q1 and early Q2? And then I guess how does that flows through into your confidence ultimately around the margin targets for the year? And then secondly, just on the level of appetite for the different parts of your portfolio. Are there any areas which have been sort of more deemphasized and equally, are there areas that have been emphasized in the portfolio by customers, particularly over the last couple of months, just as the macro has become a little bit more unstable?
Carole Ferrand: So as expected, I mean, there was some costs coming back in 2022. So Aiman mentioned the travel cost, but it's true for a few costs that were avoided in 2021 as well as in 2020. So what I can tell you is that our operating margin is fully under control and that we confirm that we are capable to again increase our operating margin this year, after I recall you a significant step-up last year of 100%. So at the high end of our margin guidance this year, it's an additional 20 bps increase. So it's all the more remarkable as you can -- as you've pointed that we have some cost saved in prior year that will return, that we accelerate the investment in innovation, that we've got some transitory headwind in terms of inflation and compensation. But all the drivers is linked to our strategy and the accretive elements of our portfolio mix and our positioning, our strategic positioning. So my message is margin trajectory is fully under control.
Aiman Ezzat: For the portfolio, if you look cloud definitely is booming, data is booming, we talked about cyber, but basically we see also pretty strong demand. So we look at the enablers. Of course, our sustainability portfolio is still small, but it's growing. And what you would consider that potentially there will be some slowdown in areas like enterprise management, which is more like the CIO kind of environment. We haven't seen much. But remember, we have been in a market where there has been excess demand compared to potential supply. So even any small slowdown perceptible somewhere would not have any impact because today, we are under resourced in a certain way compared to the potential demand in the market. So we haven't seen really any part of the portfolio being impacted by any slowdown for the moment. So again, I'm not going to say nothing will ever happen. But right now, we don't see any sign of slowdown. And for us, of course, as for many people, one of the big indicators is what we see around strategy and transformation. Because usually, when clients start to slow down, this is the first thing that they start to really anticipate in terms of cuts. And right now, we haven't seen any slowdown and [Technical Difficulty] strategy and transformation remains quite strong going into Q2.
Operator: Next question is from Stacy Pollard from JPMorgan.
Stacy Pollard: Just a quick one, a little bit of a follow-up. Talking about the TME, the office cost, et cetera, that are gradually coming back. When you look back or think back to your expectations, let's say, in 2019, how much midterm margin upside do you think will have come from the changes in remote work brought on by the pandemic? So essentially, is there a structural uplift, and to what degree can you quantify that? Second question is just a little bit following up on Charlie's question about seasonality of margins. Any difference from kind of previous years? And then finally, any current thoughts on M&A? I mean, valuation reduction perhaps making it a bit more attractive for you to get more aggressive or just thoughts there?
Carole Ferrand: So on the cost avoidance and the return of soft costs, it's completely as anticipated. So no surprise on this point. And when it comes, for example, to travel expenses, there are some travel expenses that are non-billable travel expenses, but there's also a portion -- a significant portion of our travel that is billable. So you are careful in the way you look at that. In terms of seasonality, nothing specific to mention this year in terms of phasing of seasonality.
Aiman Ezzat: Okay. And on M&A, we continue to be active on bolt-ons. The question is, you could say, some of the valuation potentially are coming down. But I think there is a gap between people seeing valuation coming down and people accepting that valuation have come down. So I think it is a bit of a lag effect. So I cannot say today that we see people in the market on small deals and things like that. Basically reducing significantly the expectation in terms of valuation, but it might come down over the coming quarters.
Stacy Pollard: Okay, fair enough.
Operator: Next question from Neil Steer from Redburn.
Neil Steer: Congrats on the very strong start to the year. It was really obviously looking at the organic growth and acceleration we've seen over recent quarters, I'm just wondering if you could put into the context of what's the price increase component of those revenue increases is. For example, if your revenues are growing organically at 16%, is the effect of price increases 2% to 3% of that? Or is it sort of 6% to 8% i.e. a meaningful components of the uplift in organic growth, please?
Aiman Ezzat: It's a good question, but I really don't have the elements to be able to do that because really, we have had some price increase there is changes of mix, there's plenty of things that change. So it's very difficult to answer your question. Price have some impact in there probably, but it's very, very difficult to estimate.
Operator: Next question from Adam Wood from Morgan Stanley.
Adam Wood: Congrats from me on the start to the year. Maybe firstly, in this environment where, as you say demand is outstripping supply, you kind of have decisions to make around how much of that demand you want to capture. And you could choose maybe to increased pay more to keep staff onboard, reduce attrition, use more subcontractors, et cetera. It looks as if that was more [ excentric ] decision in terms of choosing to go for the growth and compromise the margins a little bit. If we stay in this type of environment where demand continues to outstrip supply for the rest of this year, could you talk a little bit about how the thinking of Capgemini would be in relation to those two things? Secondly, and maybe the flip side of the coin, when the macro becomes a little bit more challenging, we often see companies maybe shift a little bit towards cost-cutting projects rather than ones that are focused on top line growth. Have you seen any of that in the business? Yes. And could you talk a little bit about how seamlessly you'd be able to transition the business mix over to that? And maybe finally, just in terms of portfolio, I think you've said the portfolio bets are very important for you as you think about how you get growth over the next few years. Could you talk about any particular areas that you're placing investment in be it training, partnerships and on the software side, I guess, particularly that you think will be critical for CAP's growth over the next couple of years?
Aiman Ezzat: Okay. A lot of questions. So listen, I think you need to find the right balance between growth and margins, sustainable in terms of sustainability. I don't think we are doing big sacrifices around growth. When you get to 16% organic growth in a market like that, you can say, okay, can I get 1 or 2 more points maybe. But at the end of the day, you have to manage the long-term impact of the decisions you make in terms of salary and compensation, et cetera, especially when you have 50% of your business in Continental Europe or close to that, you have to be careful in terms of some of decisions you make. So I think we have the right balance. Frankly, I think we have the right balance, and it's also important to capture the right growth. Important to capture the growth, which is more strategic, more positioned for the future and not just any growth. So I do believe we have found the right equilibrium. We do use subcontractors. We're looking at the evolution of all our talent ecosystem to see how to better leverage the overall ecosystem beyond our own employees in a much more proactive and intelligent way. So that's things we are working on in terms of evolution definitely. But overall, I do believe we are striking the right balance overall in terms of what we're achieving, and we are capturing for me, what's important, the right kind of growth. Will companies move to cost cutting? Definitely, there will be part of the portfolio that will move to cost cutting. We always see it. And again, I don't think it would be realistic to say if there is really macro downside and stagflation that companies will not look at cost cutting. But as you know, we have a pretty extensive cost-cutting portfolio as well that we have activated during COVID, we can reactivate here. But independent of that, I do believe there will still be strong structural demand in terms of digital transformation that will continue in parallel to any cost cutting. And do remember that part of the digital portfolio, which is really around a lot of transformation we do around moving to cloud are actually providing cost efficiencies to our clients. So it's already part of what we do today with clients. On the portfolio, what's new, which areas? I mean there is really the areas for the future, but they are not for today around more what I call Metaverse 2.0, I tend to say that because we already have a lot of the components of the Metaverse in AI, in crypto, in terms of DLT, in terms of digital twin, et cetera, this is something we already operate with those capabilities that we have, but we're looking around how really clients that's why we're investing in our labor on Metaverse, how they can really take advantage and really create business value out of the Metaverse and not how to experiment only in the Metaverse. We are definitely preparing for quantum because I think it will be important in areas notably in terms of cyber. We are investing in futuristic area like Synthetic Biology because they leverage IT and engineering in addition to the biology area and definitely the portfolio on sustainability. It's for me the most next tangible area in terms of potential growth. But in today's world, we're still investing a lot around buying the customer first area and all intelligent industry because that's really the business of today. And here, we still have a lot of investment not futuristic area. It's really what's going to provide growth in the next 3 to 5 years, this time the big growth will come from areas like Intelligence industry and customer first. And that's why we continue to expand our portfolio of partnerships in terms of technology because there are more and more companies that start to get positioned in these areas to help drive basically that intelligent industry transformation. Okay, we'll take the last two questions.
Operator: So next question from Laurent Daure from Kepler Cheuvreux.
Laurent Daure: Congratulations from my side for this great quarter. I just have three quick questions. First is on the positioning of CAP. I mean your now -- performance is now quite a far with the best large offshore vendors. Does it reflect an improving win rate in recent quarters, this catch-up you've made? My second question is on Russia and Ukraine. You said it's very small. But could you quantify the impact of closing the region for Russia? And my final question is, I think your ambition is to have an improvement in gross margin at group level. Is it something you expect to see on the three different business units, asking this because one of your competitor last night talked down about its gross margin profile in engineering for 2022? Are you confident to say that you can still increase prices in these specific businesses?
Aiman Ezzat: Okay. So on the win rate, I think our rate is pretty good. The reality as well because there is -- as you know, there is a lot of demand in the market. We are more selective. So as you are more selective, it tends to improve the win rate. So win rate improving probably, but also because we are more selective. I think at least was for me, what was positive in Q1 is our win rate on large deals has been very good. I'd say it was above what I could have expected in terms of win rate on last year. On Russia, it's minimum. To be frank, I don't think it's something that will have an impact. So if it was a big number or something that will have a material impact on our numbers in any way. We change our profile of guidance for the year. I think we'll communicate it to you, but it's really minimal. And on the gross margin, again, I'm not going to comment on what other people say. Our gross margin in engineering continues to improve. Actually, we are more in a recovery mode in some areas in terms of gross margin. And for me, it remains strong. And I think there is leverage actually to continue to improve its estimate for engineering picks up, the offshore leverage will increase, and I think it should have a positive impact on gross margin versus a negative one. So -- but I frankly look at even gross margin in cloud infrastructure is the transformation we have done in the portfolio in the last few years. It's impressive to see the progress we have done around that business, which is now growing double digit okay, our cloud infrastructure service, which all our traditional infra is now growing double digit. And we expect improvement in gross margin across the Board. Okay, and maybe the last question.
Operator: Last question from Stefan Slowinski from BNP Paribas.
Stefan Slowinski: Just wanted to ask around the large deals. So Microsoft this week as well said its number of deals above $100 million have doubled in the quarter year-over-year. So it seems like these large cloud transformation decisions are arguably still accelerating with companies making the decision to go all in, it sounds like you're seeing that too. Is this a change not only in the size of deals but a duration of contracts? And how does that make you think about your longer-term targets that you have out there in terms of growth and margin? Is your visibility on those longer-term targets better than you would have expected a year ago when we initiated that guidance? And then a second quick follow-up, just on customer first. It still remains an area where there's concerns around maybe some pull forward. It doesn't sound like you're seeing that, but I just wanted to see if you could confirm that and talk about where maybe which solutions you're seeing most in demand on the customer first side?
Aiman Ezzat: So on the last deal first. First, yes, there is definitely an increase of large deals. The contract duration, I have to say, it is not something that is on my mind, I consider that when you do the right job independent of the contract duration, you will be able to sustain your relationship with clients. For me, I look more at the nature of the work, how strategically positioned it is with the client, it is something really important for him. Then the quality of what we deliver is basically what really provides the contract. I'm always now really questioning these things around the contract duration. You can sign the 10-year contract with cancellation for convenience after 2 years. So for me, what is more important is the continuation of the relationship with the client based on the nature of the work and the quality of what you provide. And I think it's important. What is changing which I think is when you go into areas like intelligent industries, the relationship is much more strategic. And the switching cost for the client is much higher. So the continuity of the relationship, the strategic nature is much more important. And that definitely is a change compared to before. And we remain -- I mean, am I more confident today on the midterm target that we gave compared to last year? Definitely. I mean we were just coming out of COVID. We were recovering. And so far, I mean in a certain way, we have been doing better than what we expected. So our level of confidence in terms of what we have provided is, of course, quite strong today. On the customers first, I haven't seen it. To be frank, it's growing pretty fast. And so far, we haven't seen slowdowns. Again, remember, we're not very exposed to big digital agency advertising, et cetera. We are not in that area. We are really more around the technology-driven transformation and the value creation. And in that stage, we haven't seen any slowdown so far. Thank you all. Look forward to seeing you discussing with you or interacting with you in the coming weeks. Bye-bye.
Operator: Thank you, ladies and gentlemen. This concludes the conference call. Thank you all for your participation. You may now disconnect.